Felipe Peres: [Abrupt Start] …present the results of the second quarter of 2023. A few quick reminders before. This event is being recorded and has simultaneous translation into English. Those who wish to listen to the audio in English just click on the interpretation button at the bottom on the screen, if you want. During this presentation, we will show the slides in Portuguese. If you want to send the questions, please click on the Q&A. To see the document in English, go to our Investor Relations website at the address that is here on the screen. Today with us, we have Mr. Ullisses Assis, CEO; and Rafael Sperendio, CFO and IRO. Now I would like to give the floor to Mr. Assis, who is going to start the presentation.
Ullisses Assis: Thank you, Felipe. Good morning, everyone. It's a great pleasure to be here with you again to talk about the results of the second quarter and the first half of 2023. I'm going to start the discussion, talking about our main numbers and our strategies and then Rafael is going to come in with a few more details. Felipe, please. So we closed the first quarter of 2023 with BRL3.7 billion in net income, which is 37% above the same period last year. And this number makes us very happy more than anything because it was really built on very solid basis, demonstrating the resilience of our company, our business growth that is strong in terms of operational result. Also the net income has grown, but the operational result is even above what we've been growing historically. So this is something that we really believe in and that is building solid basis for our company. In terms of insurance premiums, the first half was 16% the same period last year with loss ratio of 29%, 7.3 percentage points below 2022. In pension are quite solid growth in contributions, BRL27 billion in contributions, 10% growth with a net inflow of BRL2.2 billion. And in recent years, we have been reporting negative net inflows and sometimes not really increasing. And this year, you can see a growth. In terms of premium bonds, since last year, we have had a strong recovery. We re-assumed market leadership, so we have collected BRL3.1 billion collection, 18% growth. And in terms of reserves, we get to almost BRL11 billion with 28% growth. Obviously, this commercial performance leads to higher revenues and a brokerage firm with BRL2.4 billion brokerage revenues, 15% above last year. All of this is making possible for us to pay out BRL3.2 billion dividends, which represents 86% of the net income of the first half of the year. Now on the strategies and those who have been accompanying our company for the last two years, we have a commitment in terms of lines and strategies. And one of them is digital transformation and the new distribution channels and also customer experience and in transformation line, so we have invested BRL250 million in technology between the products, channels, analytics intelligence and this is more than last year. Last year, we had challenged ourselves to put all our products in the cloud service oriented when we completed it. And this provides us more leverage in terms of sales and lots of traction, whether it's physical or digital. This has been fundamental to reinforce the partners and their distribution of - the distribution of products and also we have the embedded strategy. All of this has provided to us to consolidate our leadership in these segments as you can see on the bottom right-hand corner in terms of life credit, life rural, pension both in terms of contribution and reserves and premium bond reserves. And this has also helped us to develop new projects as an example of corporate insurance as the recently launched product using a lot of technology that has driven growth. And we've been growing because of the market and our ambition is to have a fair share, ideal and corresponding to our size in the market. This is little bit about products. Now I would like to focus on channels. So our digital channel has grown 13% in terms of sales as compared to the same period last year. As we look at the products that do not depend directly to credit, they are not related to credit. We grew 38% in terms of digital sales, 96% growth in digital transactions in terms of sales and after-sales, 121% growth in monthly premium bonds and 218% in BB protection. As you can see here on the right-hand side of the corner, we have embedded it into the Pix journey of the bank and this has made it - has made it possible for us to attract many more customers. So, depending on the journey on what customers need then and on the services that they use, it's in the bank app and we embed the product that is related to that customer profile. In this manner, we have been able to expand our sales volume and we are likely to grow more and more. Today of almost 9 million customers, 71% of them are active in the digital channels. So this provides opportunities for offers, especially talking about cross-sell and upsell which we have been doing. And we have also invested in WhatsApp with remarketing, with very interesting NPS. So we are doing the remarketing of life - term life insurance, home insurance, pension plans. So we want to embed as many solutions as possible in - for all products in the WhatsApp and this has been very good. And lastly, talking about analytical intelligence, nothing would be possible if we didn't effectively use data. And - so you must know what to do with the data in terms of analytical science. In terms of customer satisfaction, customizing the relationship with which one of them and we know that the future of the insurance market is customization and we have invested in that. We have been using analytical intelligence to develop new products to add value to existing products and this is very important. We have also tested the value propositions for different customers in terms of businesses, not to mention the strategy. We have an accelerated strategy by democratizing information. So we have been investing a lot in this and we believe this is going to help our company to continue in the market with a customized proposition at the right time for each customer and this is very important. Now very briefly talking about the new channels and the strategy for new channels. This is something that in the last two years, we've been talking about it. If you remember, in 2021, we had no distribution outside Banco do Brasil. When I took office, I decided to build new sales channel without ever leaving aside Banco do Brasil, but this is a new business, a company as big as ours. And we don't have to choose between one strategy with the other. We need to be capable of using different strategies at the same time and this strategy has been very successful. We closed the first half of 2023 with 858 premiums issued, which is 64% bigger than in the first half of 2022 when our strategy started. And in the bottom line BRL66 million in the first half of the year. And when I talked to the press, if we look at BRL66 million considering BRL 3.7 billion, you think it's not too much. But then as this is a new strategy, as this has been growing, we think that this is quite interesting number because not too many companies in Brazil generate BRL66 million. And we are talking about half year with a strategy that has only just started. And we know that in retail, we need to have small strategies and is a strategy that we started from scratch. And because of the growth, it's going to get bigger and bigger and we're going to have an increasingly larger share in the bottom line of our company. While I wanted to mention the strategy to you as we've been talking about this for quite some time, it was fair to talk to you about our net investment income. And we know that - you know that we expect to grow because we have acceptance and new partners have been coming to us. We signed 24 new partnerships in the quarter, diversifying the segments. So we are embedding new products for existing partners and signing partnerships to sell different products. And if you remember two years ago, we didn't sell anything through Banco do Brasil agents and we have many invented products and many other partnerships with a great potential for growth and we hope to increase it even further in the second half of the year. And lastly, I would like to talk about customer experience. We had an 3% expansion in our membership and the highlight is 13% in our premium bonds membership, 4.3% in credit life insurance and 6.3 in terms of pension plans. We are very happy that our membership has grown, our customer base has been growing and we are happy also and very satisfied with engagement. Our NPS according to the latest surveys had been growing robustly. If you remember, in addition to that growth, we have attained 4% growth in rural, NPS 10% in premium bonds, 18% in life. So our value proposition has been increasingly better received by customers as a consequence. The number of complaints last year had dropped 31% and we are having a drop quarter-on-quarter of 13% accumulated over a strong comparison basis. And for churn, dropped 15% year-on-year because this is very interesting product in the break if we break down our numbers. So we have higher and higher NPS, fewer complaints and a smaller churn. And lastly, very briefly, I would like to give you an overview of our relationship program. We have launched - we piloted the relationship program last year. It's embedded in the bank app where they get a classification and the level of protection at that given point in time. We started with 15,000 customers. And the customer in June, we added another 230,000, in June another 1 million and now in the third quarter, we are going to migrate our entire customer base into the bank app. We learned a lot with a test that we had with our pilots experienced today. Total NPS is 4.2 percentage points above protected customers. I'm talking about super protected customers and we want to migrate more and more customers to the super-protected using cross-sell and upsell because our super protected customers provide the profitability that is 10 times higher than other customers to our company, not to mention that we have 68% of them have more than one product and we want to work on a very strong strategy using data technology, using appropriate channels, so that we can take more and more solutions that will add value to customers and help us give traction to our sales. I'll - now I finalize, I'm going to give it over to Rafael to talk about our numbers and then I'll come back for the Q&A.
Rafael Sperendio: Thank you, Ullisses. Thank you all very much. We are going to go to Slide number 10 to talk about our IFRS-17 and then we do what we are used to doing and then we'll talk about our numbers according to the previous standard. So there is an issue with SUSEP, they haven't accepted it yet. We are still working on that. And everything that we receive is based on the previous accounting standard. Now very briefly showing the main differences between the two accounting standards. So with Brasilseg recapping, well, the changes here in terms of the previous standard are concentrated in credit life and mortgage insurance, all other products in the portfolio will follow the simplified approach, similar to the previous. So BBA, both for credit life and mortgage insurance. And now we report them based on our historical experience in terms of risk recurrence for these two lines. More specifically for credit life, we are recording numbers in a more - in a faster way. This expects the transition table here. We are reporting 400, 328 - BRL4,328 million, sorry, as opposed to BRL2,384 million and the numbers that are being booked, they had already been appropriated in IFRS-17 and that's why there is an impact of BRL426 million in the bottom line. As the lines mature and we've been seeing an acceleration of this movement, especially very strong growth in credit life, this situation will reverse and this is very clear when you see the bottom line after second half of 2023 and there is a difference in the equity equivalents. According to IFRS-4, it was just BRL9 million as opposed to BRL42 million according to the previous number. So in terms of operations, we are booking or recording results and acquisition cost is deferred for a longer time, not just for three years, which is deferred in IFRS-4. And on the other hand, we are also booking or recording the numbers according to the onerous contract and more than BRL15 million in December 2020 in IFRS-17. So it was realized immediately. So here if on one hand we have smaller numbers being booked for Brasilseg for Brasilprev, the numbers are bigger because of a longer deferral and reversal of the onerous feature and assumptions were worse than we saw in actual numbers and that's why we are reversing. Now going to Page 11, going back to our usual accounting standard. So, our net income in the second half was BRL1.8 billion with a 31% growth year-on-year. It was not better just because of the time mismatch. In the update of traditional liabilities, this has taken up BRL128 million of our net income and it was an absolute quarterly record. Other than that, we would have booked almost BRL2 billion in terms of net income in the quarter. We know that these numbers, this is just something time specific. It's a one-off. And in the future, as IGP-M curve stabilizes, we are going to be able to record everything in our numbers probably, in the second half of the year. And then we have BRL3.6 billion in terms here on the right-hand side, so a 39% increase, very good result. And you're going to see more details on the next page. To net investment income, consolidated numbers for all companies of the group, we saw that in the second quarter, it had the benefit with higher SELIC rate and deflation of IGP-M has reduced the cost of our liabilities and the increase on the average balance with a very good sales performance that we've been seeing, especially since last year. So when we look at the net investment income, it doubles in the second quarter as compared to the second quarter last year, getting to 20.4% the net income and 19.8% in total income with BRL714 million. On the next page, you can see the net income broken down. So, of this BRL1 billion growth and year-on-year growth in terms of net income, 70% comes from growth in sales and operations, growth in the sales of credit life insurance. And pension contribution, especially in the first quarter, this has driven not just the growth of revenue. In terms of premiums earned in insurance company, but the growth of reserves in terms of pension, that will have an impact in revenues from management fees, but it also increases the revenues at BB brokerage firm. These are the main drivers that were impacting the numbers of the quarter. Another important piece of information that we've been seeing in terms of quality of our results is the drop in the loss ratio, especially in crop insurance that had a strong impact last year because lending. And this year even though lending persisted, the frequencies were much smaller, so you can see an additional BRL393 million with this milder, so to speak, effect in the year of 2023. The other 30% - 70% of the operation came from net investment income, as I said in the quarter, or for the half year same thing. So the volume rate changed to BRL124 million, BRL131 million due to Brasilprev temporary mismatch as while we see that when we mark to market differently from last year, the entire structure both faced an actual. So there is a steepening in the yield curve and this year there is a closing, so most of the view come from the actual structure because of exposure of Brasilprev. So this added BRL316 million to the net income of the year, if we see the overall number for the net investment income. Now about Brasilseg, in the second quarter, 2% growth year-on-year. As you can see, this is driven especially by the growth of credit life 27.7% growth and this year we have been noticing that there is a 7.7% - 7.1% shrinkage in rural insurance, so more fewer contracts hired or contracted for this period than we had in 2022 in Q3. We are going to see a slightly stronger performance of rural as compared to last year. In terms of life, we had a drop of 2.2% year-on-year in the second quarter. And here the explanation is IGP-M inflation benefits it, the cost of liabilities in Brasilprev and it has an impact in life in the portfolio in terms of inventory and it is adjusted by IGP-M. And in the end, even though we noted a quite extraordinary rate and we had a reduction of churn in life and deflation of IGP-M and the impact it has and the update of the inventory of life insurance led to a shrinkage of 2.2% in a portfolio. We are - we have an intense migration process of our portfolios. It makes no sense in terms of the index that we're using. We are changing it. So as in the future, we'll see fewer problems in life, term life insurance line. And now for the quarter, the premiums have grown 16% above the guidance of the year also driven by an even stronger growth in the quarter. So, when we look at accrued numbers, almost 50% growth in credit life. And rural year-on-year, a growth of 11% in the half-year, especially in terms of rural collaterals. Below, on the left-hand side, you can see the performance ratios in terms of the quality of subscriptions. So here you can see 50 basis points improvement in the combined rates in the second quarter as compared to the second quarter last year. And here the main drivers are the reduction of commissions, which is a result of the negotiation that we had last year for some products that we did December last year. Commissions have gone down, so expenses has gone up a little bit from 10 to 10.730 basis because of all the investments we have made in distribution, technology and also staffing to adapt to the more efficient structure. And these are the explanations for these numbers and also higher allocation of funds for marketing to promote sales of insurance products. The loss ratio has gone up year-on-year and this is explained by a concentrated event, but because of a higher frequency in credit life, more severity of life claims, which is a trend - which is not a trend, it's just one-off in accumulated. The rate has improved 8.4% and here you can see a longer window with the strong reduction in loss ratio that we saw especially in crop insurance commissions has dropped 20 basis points and the explanations are the same as we had for year-on-year explanation for the second year - for the year - for the first half of the year. Now in terms of net investment income, if we compare the six months of the year, we compare year-on-year '23 to '22. We had an increase of 41% and this growth in premiums earned had an influence in the net investment income. And we had a high of 73% growth in the year, getting to BRL1.9 billion. And now going to Brasilprev pension, so collections have grown 10% year-on-year in terms of the first half of the year, so a good flow - a significant better performance. And you can see here we had - in terms of accrued numbers, we had 11.3% and in the second quarter 10.8%, a good net inflow driving net - the inflow to BRL2 billion. In accumulated last year, we had net redemptions of BRL1 billion and then this improvement in the net inflow adding the improvement of return of the assets, you can see that the total reserves grew 12%. And if we separate from traditional reserves, that dropped 3.8% in 12 months. P&D reserves has grown 13.3% affecting our guidance. On the other hand, we can see a strong movement of risk aversion in the market explaining that the multi-market funds share and the total assets under management going from 31% of the total to 24.5% now with slowdown in the margins. And investors have started to be more likely to risks with a reduction in the Selic rate. We think that this behavior will become stronger. But so far, the risk, with a reduction in the overall share of multi-market explains why our management fee revenues have grown to with a 33% growth year-on-year and 4% in the accumulated numbers. In terms of net investment income, we see a significant drop year-on-year and in accumulated numbers. So there is a deflation of IGP-M especially in the last three months. This has reduced the cost of our liability significantly. And then, on the other hand, the closing of the structure at actual rates has contributing greatly in terms of revenues. So we go from a financial loss of BRL8.2 million in second quarter - [89] in the second quarter last year to a profit of BRL223 million in the second quarter this year and BRL470 million in the first half of this year. So better flow growth in revenues from management fees and better net investment income. We had 91% growth year-on-year of the net income and a 39% increase in the first half of the year - year-on-year again. And in terms of here Brasilcap, year-on-year 35% growth, 15% quarter-on-quarter. And then net investment has grown 10% year-on-year, driven by higher volumes with a shrinkage in the financial margins compared to last year. So, as a reminder, 2Q 2022 was positively affected by the opening of the curve. There was a hedge in pre-exposure and it was classified as available for sales. This led to gains in the second quarter, which did not happen again in the second quarter of 2023. That is why the margin has gone down if you looked at two years. So net investment income, first half of the year, year-on-year has grown 16% and then the growth of the net income has contributed to a 7% growth in accumulated numbers for '23. If we look year-on-year, there is a drop of 1% especially considering admin and operational expenses, investments made in partnership and technology and risks. And on the structure that we have reinforced in all these areas had an impact in the company's results and it affected the financial performance and the expenses in the second half. But if we look at the numbers, the performance for the six months of the year offset this - these higher expenses. Now in the brokerage company, our brokerage revenue has grown 12% year-on-year with strong growth, especially in terms of credit life, not just in life, but because of past sales that took place in the second half last year, this has a driving up brokerage revenues and a strong performance that we've been seeing with the growth in this segment of premium bonds. For accumulated numbers for the year, 15% higher brokerage revenues. And in the second quarter, we also had a quite positive contribution of the increase in collected volumes in pension, especially in the first half of the year that helped a lot the increase of revenues in total numbers for the year. In terms of net margin, we had a slow drop of 20 basis points year-on-year because of review that we did in the scope of our civil litigations, so there was a slight increase in this liability and another periodical review that we did, any allocation model of costs between brokerage insurance, BB insurance and BB Seguridade, that's why there is a slight drop in the net margin. For the whole - for the accumulated number of the years, this saw almost one percentage point up. And then lastly, the net income grew with a better net investment income margin. And then the net income has grown 17%, slightly above the growth of the revenue. And in the second quarter year-on-year, the growth was in line with their revenue 12% growth going to severance in BRL7 million in the second quarter. And to wrap up our presentation, talking about our guidance, as we had anticipated in our last conference call, we were expecting the convergence of the indicators for the guidance ranges and this is going on. And in terms of operating results from 12% to 17%, we are closer 25.7%, in terms of premiums written 15%. So there is a marginal 15.7% growth, so everything that we had said, very strong in the first half of the year because of the comparison basis. And as months go by, we can see this convergence to fall within the range and this will be true in the second half. In terms of reserves of Brasilprev, the indicator was within the range in the first quarter, 13.3% in actual numbers closer to the top of the guidance in our scenarios. We are optimistic. And this we've been able to execute it and showing a good performance. So these were the main highlights that I wanted to share with you. And now we are open for questions and answers.
A - Felipe Peres: Thank you, Rafael. Let's start our questions-and-answer session. [Operator Instructions] Our first question comes from Antonio Ruette from the Bank of America. Antonio please, you may ask your question.
Antonio Ruette: Good morning, everyone, thank you for the opportunity of asking a question and congratulations on your performance. I have two questions to ask. The first one is related to the guidance. So what's new since you gave us the guidance in terms of rural loss ratio and the crop? And looking into the second half of the year, what would be a potential trigger? So, you have said that the idea is to converge, going to the middle of the guidance, what could change it this quarter? And just a very quick follow-up in terms of buyback, is it just the complementary to the payout by dividend or could it change your dividend policy?
Ullisses Assis: Thank you very much for your question. Let me first answer your second question. Well, buyback will be funded by cash flow and BB Seguridade. So we don't leave any money on the holding just there. And in summary, the way we assess the dividend payout, the final payout for the year is going to be distributed or paid out dividend minus bought back shares, so the buyback is the same. So if we're having the payout on average of 80%, 90%, as we have had in recent years, it's not going to be 80% or 90% plus buyback. No, buyback is going to take out some of that. Can I answer the -
Antonio Ruette: No, this is very clear. You may answer the second question as to the guidance?
Rafael Sperendio: So there were some positive surprises. Loss ratio was better than expected. But these positive surprises are enough to drive the company's growth more into the optimistic zone on the upper half of guidances. And today, we review our projections for the end of 2023. There is no indication that there will be any material extrapolations of the ranges that we've published it will lead us to review them. This is August's vision. So that's why we decided to keep. We work for the convergence of both to go within the range even though we are more certain that we will be on the more optimistic range on the upper half of our guidance.
Antonio Ruette: Super clear answers. Thank you very much, Sperendio.
Felipe Peres: Our next question comes from Tiago Binsfeld from Goldman Sachs. Tiago, please, you may ask your question.
Tiago Binsfeld: Hello, good morning, Ullisses, Rafael and Felipe. I have two questions to ask related to interest rates that have started to drop. First, operationally, how do you see the company's capacity to keep collections at a high level as interest rates go down? And then in terms of net investment income, how is it going to affect your consolidated net investment income? If you want - don't want to share your expectations, could you say something about that?
Rafael Sperendio: Hi, Tiago. Thank you for the question. So we're not too sensitive. We can talk about that. No problem. It's okay. We just need to think of the portfolio allocation, which is public. And then also in the explanatory notes, so today for every basis drop in Selic, we have an impact of BRL100 million approximately, even though this effect is not isolated. And here, it's not just about the reduction in the rate, but this event was accompanied by an adjustment in expectations in the structure. And as we saw in the second quarter and in third quarter, we have positive marking to market, which is likely to offset not in full, but at least partially the expected Selic drop from now towards the end of the year. So, it's still too early for us to estimate the full impact. So 100 basis, BRL100 million is a ballpark number. We don't work with interest rates going to the same levels as we had in recent years until 2021, early 2022. We think that is going to go down, but it's going to stay at higher levels than his recent history. And because of that, we are not expecting any significant changes in terms of competition. Now looking in the long term, so an environment of low-interest rates and inflation under control is the best environment that we have to develop insurance businesses. So we look sustainable growth in the middle and long-term. And to our business, this is a lot better, much more positive. So we can see the penetration of insurance in the GDP and we compare Brazil to other countries. You see that insurance penetration, its share of the GDP is very much related to low interest rates and inflation under control, much better than high interest rates and high inflation. And then customers need to focus on the more basic needs and not necessarily on insurance. So, this is the scenario that we see that is coming through, the economy is getting better if inflation is under control, lower interest rates. This is the perfect environment for us to develop more strongly.
Tiago Binsfeld: Thank you, Rafael. There was a first question about pension. If you have anything to say about that?
Rafael Sperendio: I kind of answered it generically. We are not expecting any significant changes in the competition environment. We will see a reduction of return in assets as other assets in terms of private credit closing the stock exchange recovering more strongly. And we are likely to offset that a long time as investors accept higher risk and then we can work with products with higher value added. And to reverse the downward trend that we've been seeing in revenues from management fees and this would be the best environment. So far we haven't seen a more aggressive competition scenario as we saw in the last two years.
Tiago Binsfeld: And Rafael, last follow-up. During the presentation, you said there are some investors that are more likely to accept risks. And do you see an inflection towards multi-market or is it too early?
Rafael Sperendio: No, it's early. But on the margin, we have seen an improvement in terms of net inflow better than we had for multi-market options. So there is risk aversion. Despite that we are increasing the portfolio internally managed by BB asset as the manager and open architecture. Is it still going up? We are well prepared to have an appropriate portfolio. But for now, there is no inflection. But in the margin, the multi-market share has grown.
Tiago Binsfeld: Thank you very much, Rafael. This is very clear.
Felipe Peres: Next question comes from Guilherme Grespan from JPMorgan. Guilherme, please.
Guilherme Grespan: Hello, Ullisses and Sperendio and Felipe. Thank you for the presentation. My question is once again related to buyback which got my attention more than your performance. If there was a significant increase, then what you were doing before? Latest programs were 10 million shares every year not really executed, there has been a significant increase in the amount to be bought back. And now I would like to understand why - we can't understand it in different ways, one of them is potentially - so the controlling bank wants to have a higher share, but there is a significant secondary effect, which is the concentration of ownership by the controller, which could save future renegotiation. So the higher the ownership by Banco do Brasil, the lower will be the economic loss once the contract is renegotiated, which increases the likelihood of success. We can understand the buyback in many different ways. So what is the rationale for this much bigger amount than in the past? And should we expect this buyback level to be recurring from now on? Or was it a one-off specific of this year? Thank you.
Ullisses Assis: Thank you for the question, Grespan as to buyback, the rationale. In our opinion, the market does not appropriately price our potential. So there are some shareholders, not just the controlling shareholder that has been in the company for over 10 years since the IPO. So the idea of the buyback as we do not agree with the current amount that is being negotiated is not appropriately reflected, is to effectively reinvest our cash in our own operation that we trust. And we are sure of its potential in terms of performance. The time is one year and a half and the results have shown to be very solid and we do not believe that the reduction in interest rate is a reason for us to impact the reduction in the mid and long term much to the opposite. So an environment of low-interest rates and inflation under control is the best environment for us to develop our business in the long term. And for this reason, we understand then have an open program for one year and a half in terms of deadline, whenever we think that our shares are not being appropriately priced by the market, we are going to buyback to add value for the shareholders who have been with us for a long time and whole recognize the company's potential to generate income and profit. And those who stay will see a higher value added in the - as they see an increase of their share in the company as a whole and future dividends. We want to create value.
Rafael Sperendio: Just to make it clear, it's Sperendio. So the idea is for this to be something more related to scenario rather than to a change in the approach to compensate shareholders is not something that we want to continue in the mid and long term to compensate shareholders. Well, we're working with year-and-half time horizon, but we are not changing it structurally, I mean, the compensation policy. Of course, depending on the results of our program, there might be different buyers. But for now, it's not what we are doing. We await for one-year and half. Now in the future, once expires in 2025, we will re-discuss and see whether generated the value that we expected, whether it's going to continue that or not. But this is regardless of - well, it depends on external events. So we might change the structure if we see that is better. But for now, we are not changing anything.
Guilherme Grespan: Thank you very much. It's clear.
Felipe Peres: Our next question comes from Kaio Prato from UBS. Kaio, you may ask your question.
Kaio Prato: Good morning, everyone, Sperendio, Ullisses and Felipe.
Felipe Peres: Kaio, can you repeat your question, please?
Kaio Prato: Can you hear me now?
Felipe Peres: Yes, we can.
Kaio Prato: I have two questions to ask. Thank you for taking my question. The first is about 2024. Once this year is over, that will be very strong again with lower interest rates. What can we imagine as the main drivers for growth for your bottom line in 2024, any products? Can you give us some more details that you could share with us? And the second question is about rural insurance, what can you tell us about the rural performance after the announcement of the crop plan in terms of loss ratio and in terms of premiums too?
Ullisses Assis: So Kaio, I am going to speak first and then Rafael will complement. For the next few years, it is clear how much we have been investing to prepare the company for the future. And Kaio, without any fear of making any mistakes, I can tell you that we are on the forefront of some issues in the insurance market. In technology, I have no doubt about it. We're huge company, gigantic, but we have the speedway as fast as a startup. We are prepared. And the last step, which was this year-end, we are solving it now and we will be 100% prepared for open insurance that will start next year, number one. We are very much concerned in terms of improving our portfolio, value proposition, customer relationship. We believe in the strategy of the program that already provides benefits to us in terms of cross-sell and upsell. We already have a basis of 9 million customers. So we have a potential to explore these customers that is really gigantic in terms of cross-sell and up-sell. And as Rafael said, we have a low penetration for in - some products in BB's customer base, not to mention the insurance market you have seen that led by CNseg. With some insurance companies we have launched the program to develop insurance market so that we go from the current 4% - 5% of the GDP going up to 10% of the GDP. So, we think with a lower interest rate and with a potential increasing sales for our entire portfolio that is really major because as you know well, the market is very resilient with higher Selic and with lower sales, better net investment income. And as Selic goes down, we can explore more market. So we're paying close attention. We have very solid strategies, not to mention the distribution in new channels, which we did not have. And we are talking about almost BRL1 billion of premiums sold this year, which was not part of our numbers in the past. So be modest for each percentage point, BRL100 million reduction is Selic, BRL100 million in the bottom line. We have BRL16 million in our bottom line according to the new strategy, it's something that we started from scratch. This will offset a significant part of the impact of the Selic in the net investment income. So appropriate portfolio, good strategy, solid basis and opportunity to grow in new businesses. For example, in terms of credit life, there is a new level of credit life hiring - contracting for the insurance. When we see low Selic rates, the credit portfolio will be renewed when I have an even greater potential for credit life and we can think of that growth. When we talk about rural, today we have consolidated market leadership, but we're not just sitting. We want to add value to our projects and seek new projects to deliver differentiated solutions for each segment. And in a recent best, we close - we had less than 15% of the planted area that was insured. And as Rafael says, we really believe and that's why we have the buyback. We believe in our results in the short, medium and long-term and especially due to sales increase. And rural, we started in mid-July since the crop plan was released. We have very good contracting volumes and we are expecting to close 2023 with very good performance. So it started strong, it remains strong. So we believe that we are going to end the year within our expectations. Have I answered all your questions or do you have anything else to ask?
Kaio Prato: No, thank you very much. You have answered all my questions.
Felipe Peres: Our next question comes from Eduardo Nishio from Genial. Mr. Nishio, please.
Eduardo Nishio: Good morning, everyone, and thank you for taking my question. Good morning, Ullisses, Sperendio and Felipe. Well, my question is a follow-up on new leases comments before investment in technology and distribution. In technology, could you give us a little bit more color about the investments that you're making? And if you may define quantities to share with us, the numbers of analytical intelligence, WhatsApp, how much more are you selling for each one of those initiatives or any other initiatives? And what do you expect, is it just sales increase, new CRM or also any improvement in underwriting? Can you see anything like that? And are these additional numbers contemplated in the guidance or could there be a positive surprise or even next year talking about BRL250 million so far? And there is a significant improvement going to 7.5%, 8%. There is a volume in terms of structured businesses and partnerships. We have about 11%. Could you tell us a little bit more of up to how much it can get? 15%, 20% in two, three years, it would be interesting for us. Another thing in terms of distribution, is it more profitable than the banking channel? I forgot to mention, 10% of the GDP by 2030 sounds to me very aggressive. How would you do that? How the industry - - the insurance industry will get to such a big number? It's been at 4% for a while. Thank you very much.
Ullisses Assis: Okay. I'll try and summarize, Ullisses. I would say the following to you, the impact and I am going to start from the end. So analytics, last year we closed BRL4 billion premiums were sold through analytics. Why do I say BRL4 billion? They are customers that were directly impacted that we are sure of the impact that they bought a product on the days rather at the time or a little bit later in digital. So if I get the numbers of this quarter, I can tell you during the call or right afterwards. But without technology, we would not have been able to expand or to improve our NPS because we viewed all our customer relationship metrics that are critical processes, so we stopped measuring NPS of contracts. And you need to do that. So we're measuring in claims, assistance. So we are talking about customers effectively here. Not just - we're not just saying for same. So we want to get into details, everything that we invested in technology more recently, in the last two years, has been fundamental because we would not be able to have a much faster adaptation of the portfolio. In the past, it used to take us months, to dates of matter of hours. So there is a new product, a new partner to distribute that if we have home insurance, it's very fast. So we have all the products in API. There has been a leap in quality. Without these technology solutions, this BRL1 billion premiums issued in new channels would have been impossible. This is a very material point. And I would like to talk about the BRL60 million in bottom line. So not talking about staffing and everything, it's something that we measure very carefully. But technology, as I said, has been healthy with all these strategies and something else. And when I talk about a 15% reduction in churn in life insurance, so there is a sales target. The more I can retain of these 15%, there will be much better results. So how much can I generate in terms of analytics, appropriate journey, right timing and offered to do cross-sell and upsell. And also making the most of the business opportunities, things that would have been impossible without technology. And as I said, this has been growing as a whole. It's not a silver ballet. It has many different impacts. And it is contemplated in the guidance. Of course, there might be market ruptures. And then you talked about underwriting, at Brasilseg, we've been working with many, many different startups and many different initiatives to improve underwriting. So we have investments, not just direct investments, but also indirect investments through our controlled companies in startups that may solve a pain that we have to change things. So I think that this is a home in talking about technology associated to better improvements. When we talk about distribution of new channels, it's difficult to say whether it's 15, 20. We didn't have an expectation that businesses would grow so fast, went from zero to BRL1 billion last year. And in six months, we did everything that we did last year. So we have increasingly more robust companies in the companies at the holding too. And we are focusing on strengthening with a broader portfolio, the partnerships that we already have that are going very well, but especially focused on attracting partnerships that will add substantial value, partnership with - partnerships with a higher distribution value going from prospection implementation of the right product to the partnership sales, training of the sales force with the partner. So this work is very well structured. I hope that it will have a higher and higher share and sales in the bank have been growing a lot. I am not talking about slicing up an existing bank. I want to make it bigger, so we talked about profitability. The strategy is contemplated divisions or splitting commissions with partners. So we have an agreement with a partner. So it's less profitable because BB brokerage house will get more, but it will get less over something that didn't exist. So it's better to get less of something that a lot of nothing, we didn't have it in the past. So we are taking solutions to other channels, in many cases we need to share the commissions and we have a direct agreement with the partner and then we lose - it's not that we lose, we don't have that revenue. Am I clear? Have I answered your question?
Eduardo Nishio: Thank you very much, yes you have. And just the last part, about the 10% GDP share which sounded very aggressive to me.
Ullisses Assis: Well, it is a challenge. And that's why I said this involves the whole industry. And this is a very broad-ranging project. And the full project in the CNseg page and we can show you, it involves issues related to legislation, changes in legislation, increase in portfolio, new distribution channels, lower costs to a higher share of the population, not to mention the possibility of substantial increase in crop insurance that is being discussed by the Ministry of Agribusiness, so there are many issues involved in the plan. It is - yes, it is very ambitious, but it's based on the commitment of the whole market is going to invest. And we will do our share. We have been taking part in all events to develop the sector. Recently, there has been an event in Sao Paulo, I was there, I participated in events. So there is a bias when the market is getting united, I say this because I am part of CNseg, so all major insurance companies are getting together in terms of - I'm talking about the importance of insurance, we see that claims are our main advertising, unfortunately, but this is what happens. So last year, we had higher demand for rural insurance. Some of our competitors could not operate. There was an interesting wave that was served. And I think that this is going to become perennial as there are climate problems that are more farmers getting aware that they need crop insurance. And also the pandemic highlighting the importance of life insurance. We're having a significant growth in pension. So this year, we see that the market has been growing. The pension market as a whole is getting bigger because people are more aware, better income, not to mention that we can see that consumption is being stimulated again. So, the insurance market should package products that are increasingly more suited to different shares of the population. This is ambitious, I know, but we are very committed and engaged to make the insurance market grow more and more.
Eduardo Nishio: Thank you very much.
Felipe Peres: Our next question comes from William from Itau BBA. William, you may ask your question.
Willian Barranjard: Good morning, everyone. Thank you for taking my question. I have a question about pension. If you could explain why the redemption rate is better? It's just because of more conservative products, because of our high interest rate? And now, thinking about the future, how do you expect this rate to grow in the future if the Selic rate goes down?
Ullisses Assis: I'm going to focus on what the company has been doing. So we are not just sitting and waiting to see the impact. Of course, we assume that we need to have a broad portfolio in any scenario whatsoever. I need to have a broad portfolio value solutions, whatever solution that they need whether it's multimarket or anything else, we need to have a broad ranging full portfolio accessible to all kinds of customers that we have in the company. We do have that and we continue to expand it because we think it's important. Apart from that, once again, we go to relationships. I talk a lot about relationship, I am obsessed about that. This is the main thing. So product and price, technology, everyone will have that at some point. You design a product today and the competition will copy tomorrow. This is part of the market dynamics. Value proposition, not everyone has. And those who have, in my opinion, will continue. In Brasilprev, in addition to everything that I said as a portfolio, technology, we have a value proposition that is very well done. This is related to the managers of Banco do Brasil. So the concern that we have today in home, they're highly specialized in pension and they are very close to customers. In the past, I would get request for migration to the competition. And then afterwards, I will try and convince the customer not to do that. Today we are proactive. We call them Felipe Peres and William and discuss about their portfolio. We give options. So before they decide to migrate, I have an investment advisor who can offer other options and I want to hear what you have to offer me before I decide to migrate to the competition. So today, we are very well structured in terms of retention and this explains part of lower redemptions, but this is a strategy that we have. And once we talk more to customers, we offer more appropriate solutions. We have information of the customer portfolio because we know where they migrated to, so we can compare what the customer has today, what we promised and what we have to offer. So these weapons help us both in defense and attack. So we have been seeing a growth of collection year after year. And this is really in DNA of the bank sales force. I am talking about sales as a whole. The second half of this year, we're going to repeat the same sales campaign that we had in the second half last year with the bank branches and network. This was historical and we are repeating it second half of this year. To make the bank network increasingly more engaged, we're going to keep growing collection, but we want to be able to retain more and more customers, not to let them go away. And then we gain in efficiency and in the results because they are in here. So we should deliver an appropriate value proposition to keep them in home longer and then we have possibilities with lower Selic rate to have solutions with higher value added, more sophisticated products with a higher management fee. So we see good scenario for pension, both in terms of defense and attack.
Willian Barranjard: Thank you, Ullisses.
Felipe Peres: We have time for one final question in a chat. It's about life insurance premium dynamics and the performance is slightly below that of the industry.
Rafael Sperendio: Felipe before getting there, I have just gotten the numbers. So this year considering sales up, insurance pension upgrades BRL6.5 billion sales based on analytical intelligence, quite consistent numbers to answer the question that someone had asked me. Nishio had asked this question. About life insurance, Felipe, with a performance that was slightly more modest than seen in the industry as a whole, if we see year-to-date numbers in terms of the IGP-M projections and deflation whereas most of the market works with the IPC-A, this is why.
Felipe Peres: Thank you, Rafael. Now, we end our earnings call for the second quarter of 2023. If possible, we kindly request you to answer a brief questionnaire that will pop up on the screen when we close the event. Ullisses and Rafael, would you like to say any final words?
Ullisses Assis: Well, I would just like to thank you all. It's a great pleasure to be here. We are available to talk to you about anything that you might need, about anything and we are really confident on a sound basis of the company's results and what lies ahead for future quarters. Thank you all very much.
Felipe Peres: Thank you. Thank you all very much for taking part in our conference call. I am available along to Investor Relations team to answer any questions you may still have. Thank you very much and have a nice day.